Operator: Good day. And welcome to the Greenhill First Quarter 2012 Earnings Call and Webcast. All participants will be in listen-only mode. (Operator Instructions) Please note this event is being recorded. I would now like to turn the conference over to Mr. Richard J. Lieb, Chief Financial Officer. Mr. Lieb, please go ahead.
Richard Lieb: Thank you. Good afternoon and thank you all for joining us today for Greenhill's first quarter of 2012 financial results conference call. I'm Richard Lieb, Greenhill's Chief Financial Officer and joining me on the call today is Scott Bok, our Chief Executive Officer. Today's call may include forward-looking statements. These statements are based on our current expectations regarding future events that by their nature are outside of the firm's control and are subject to known and unknown risks, uncertainties and assumptions. The firm's actual results and financial condition may differ, possibly materially from what is indicated in these forward-looking statements. For a discussion of some of the risks and factors that could affect the firm's future results, please see our filings with the Securities and Exchange Commission, including our annual report on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K. Neither we nor any other person assumes responsibility for the accuracy or completeness of any of these forward-looking statements. You should not rely upon forward-looking statements as predictions of future events. We are under no duty to update any of these forward-looking statements after the date on which they are made. I would now like to turn the call over to Scott Bok.
Scott Bok: Thank you, Richard. Focusing on our first quarter results we are very pleased with our strong performance in what continues to be a challenging transaction environment. Our advisory revenue for the quarter was up 51% compared to 2011. It is fair to note that the first quarter of 2011 was our lowest revenue quarter for that year and that's helped year-over-year comparisons, but nonetheless we see this as a very solid performance in a very difficult environment. Similar to advisory revenue, our total revenue was also up meaningfully benefiting from positive movements in the value of our remaining principal investments in addition to our strong advisory revenue results. For the first quarter our pre-tax profit margin was 30% and we had earnings per share of $0.53. As we've said previously our results are best viewed over longer periods of time and when taken together, the last four quarters' advisory revenue of $328 million is our strongest trailing 12-month performance since the first quarter of 2008, which reflects the growing strength of our global franchise. You'll recall that we have consistently talked about having four main objectives for the firm. One to increase our market share of the global pool of advisory fees, two, to consistently achieve the highest profit margin among our closest peers, three, to maintain the strong dividend policy, and four, to maintain a flat or even declining share count. I will focus on the first of those and then turn it back Richard for the others. In terms of increasing our market share, our first quarter 51% increase in advisory revenue far outpaced the market's statistics for global M&A activity as well as the first quarter results announced today by the big bank. Globally, M&A completed volume for Q1 was down 42% versus the prior year and M&A announced volume was down 32% in 3 of our 9 Global large bank competitors have reported first quarter result so far and their aggregate advisory revenue was down versus last year. The trend of our growing advisory revenue faster than the 9 big banks, which are our primary competition has been in place for some time. Coming into 2012, we had grown our advisory revenue 39% over the preceding 33 years. While the aggregate advisory revenue of the big banks group actually fell 17%. We are pleased that this trend towards significantly increased market share remain very much in place in the first quarter. In terms of the diversity of our revenue base, we focus on breadth of industry coverage, geographic diversity and offering many types of advice outside of traditional M&A advisory including financing and restructuring advisory and capital advisory or fund placement. It's the breadth of our revenue sources that it's allowed us to outperform expectations each of the past four quarters. In the first quarter, we again earned almost half our revenue outside North America. Australia made a smaller contribution than in recent quarters, although the strength of our franchise there is highlighted by our firm recently receiving the award of Australia Independent Bank of the year from ACQ Finance Magazine. But Europe showed significant improvement, despite what are still very difficult market conditions there. By industry, we also showed good breadth. As listed in our press release, we completed 10 transactions in the first quarter across the range of industries and this industry breadth is similar to the range of industries that are active in our pipeline of ongoing advisory assignments. Lastly, in addition to solid M&A advisory revenue, we had increased contribution from financing and restructuring advisory during the quarter and a moderate contribution from capital advisory, which we expect will continue to grow as a contributor over the course of the year or beyond. While it is too early in the year to predict how these trends will play out over the course of 2012, based on what we're seeing today, we expect the diversity of our revenue to continue across geographies, industries and types of advice. Finally, as it relates to revenue, let me say a few words on current market conditions. Obviously, it's been a couple of years now of two steps forward and almost two steps back in the transaction environment and the last few months have reinforced that there will not be a straight line recovery. However our sense is that conditions are improving and based on what we are seeing today we do not expect the very weak market activity levels observed in the first quarter to be indicative of our full year activity levels will be at year end. By region North America feels like it is improving with many major companies looking to accomplish strategic objectives in the M&A market. In Europe clearly there's still uncertainty, but we also see encouraging signs there and Australia remains active. Finally, financing and restructuring advisory, we are seeing a modest increase in activity despite strong financing markets and I've made clear, that our capital advisory business is in its early stages of development. So we expect that business to continue to grow. Putting all that together, we feel like the year got off to a decent start for us, but then our revenue opportunity for the full year is weighted toward the second half, given the low level of deal announcements in recent months. The fact that our run rate or retainer revenue continues to grow, certainly bodes well for increased transaction activity going forward across our businesses in regions. Now I'll turn it over to Richard.
Richard Lieb: Thank you, Scott. I'm going to cover four major topics today. Compensation cost, non-compensation cost, dividend and share repurchases. And finally I'll provide an update on continuing liquidation of our remaining principal investments including the status of our 10b5-1 program for our Iridium shares. Let me start with compensation, as we commented on our fourth quarter earnings call in 2011, we made meaningful progress in moving our comp ratio back towards our targeted level of below 50% consistent with its historical very low level. In comparison to our closest peers, we have had the lowest GAAP compensation ratio every year and last year was no exception. Consistent with our targeted level, we achieved a compensation ratio of just under 50% of total revenue in the first quarter, which we expect will easily be the lowest with our closest peers. At any cost, we have in full year – the full year compensation ratio, it will be dependent on our results of the remainder of the year in balancing our target of a compensation ratio below 50%, we're paying our employees competitively, both of which we aim to accomplish through high productivity per employee as we've demonstrated historically. Now let me turn to a non-compensation cost. Our first quarter non-comp cost were $16.6 million an increase in the first quarter of last year and from the fourth quarter of 2011. The increase was primarily driven by increased travel associated with an increased level of business development activities and a number of small generally onetime items in other expense lines. There are obviously some differences in each quarter but we do not expect the annual run rate for 2012 to be up meaningfully over 2011 level. Turning to dividends and share repurchases. Our dividend held steady this quarter at $0.45 a share consistent with the last few years. During the quarter we repurchased over 200,000 shares at an average cost of $46.4 per share. The majority of these repurchases were for the cash settlement of vesting employee RSUs, with the balance being open market repurchases. After our dividend and share repurchases as well as payment of annual bonuses, we again ended the quarter in net cash position with cash of $42 million and debt of $27 million. Our Board of Directors has authorized the repurchase of up to $100 million of our common stock through the end of 2012 of which over $90 million remains available. We would like to do most or all of this amount, but that will be dependent on our earnings as well as the results of our plan to continue liquidating our principal investment portfolio. This was highlighted on previous calls, it's important to note in connection with our share repurchase activity that we continuing to maintain a share count but it's effectively flat with our 2004 IPO share count which compares very favorably with our large or small competitors. Finally, let me touch on our remaining principal investments. We ended the first quarter with investments valued at $119 million, which includes both our LP investment in our previously sponsored funds of $48.8 million, and our remaining Iridium stake valued at approximately $70.2 million. Our principal investments generated a first quarter gain of $9.4 million, the vast majority of which is from Iridium. On previous calls we explained that in early October 2011, we had entered into a 10b5-1 program for the disposition of our Iridium shares over a period of approximately two years or longer. The program continues to be executed exactly as planned. During the first quarter we sold 915,000 shares at an average price of $8.10 per share for total proceeds in excess of $7.4 million. As we have stated before it's our intention that proceeds from these sales will be returned to shareholders in the form of dividends and/or additional share repurchases. Now let me turn it back to Scott.
Scott Bok: I'd like to close by talking about some management and personnel issues. As we include in our press release, Richard Lieb will transition the role of CFO to Chris Grubb effective May 1st allowing Richard to refocus full time on Client Advisory in his new role as head of north American corporate advisory. Chris joined Greenhill six years ago from UBS, and has focused this time with us on advising clients on a variety of M&A and restructuring transactions, in addition to being responsible for a range of administrative roles for the firm. As once the case with Richard, Chris will continue to work on selected client advisory assignments while serving the role of CFO. Separately, Ulrika Ekman, who has served as our General Counsel for the last eight years, will be retiring from full time work. Ulrika has a made of tremendous contribution to the firm as a long-time member of the management team and will continue with us on a full time basis for some time, before transitioning to a consultancy role. We have a search underway and expect there will be many interesting candidates, we expect to hire someone for the general counsel role who will support further growth in our business in capabilities, through expanding our relationships and working with transactions teams on deal structuring and tactics in addition to the usual general counsel responsibilities. Finally, I want to briefly mention that we are seeing a surge and interest in recruiting opportunities and we hope to have some further news on that in coming weeks and months. With that we're happy to take any questions.
Operator: (Operator Instructions) And our first question comes from Devin Ryan at Sandler O'Neill.
Devin Ryan – Sandler O'Neill: Hey, good afternoon guys, how are you?
Scott Bok: Very well, how are you, Devin?
Devin Ryan – Sandler O'Neill: Doing pretty well. So just generally when you think about the level of conversations in the M&A business today. And it sounds like they're improving kind of behind the scenes and obviously markets have been more constructive, but how do you weigh that, relative to the – what remains relatively low levels announcements, essentially what do you think of the biggest factor holding back deals from actually getting announced is given the higher conversations in more constructive markets is it an event, some resolutions in Europe, is it just market uncertainty or I guess, lastly or fee are just more, cost is coming off of what have been obviously very difficult in markets, in a tough economy?
Scott Bok: I think our sense is and to clearly we've kind of indicated here but we do think there's a lot of dialog and activity going on behind the scenes clearly it has not showed up in an announcements to our completions here to date. I think it's just going to take time for things to flow through, where we – we feel like they will flow through, we feel like we – had a nice quarterly result despite a pretty lousy M&A environment in general. But it's just going to take time, I think it's not frankly unlike what you – hear about retail investors where, some people got frankly a little bit spooked by what happened with the volatility over the last couple of years, especially the latter half of last year and it's just taking time for people to kind of refocus on longer term opportunities and perhaps take a little bit of risk in terms of expanding their businesses.
Devin Ryan – Sandler O'Neill: And do you have any sense of or any color in terms of the backlog and the conversations that are occurring, or are we talking – significant transactions, in the multi-billion dollar deals or are they kind of small or more specific niche type of situations?
Scott Bok: I'm saying that I can only speak really to for us, but I think we feel like there's probably in terms of the things or kind of probably a better a mix of larger transactions than certainly there has been for the last couple of years. So it's – I think certainly not a case where it's a lot of sort of more moderate sized divestitures, and things like that there are certainly are some of very important strategic things being talked about as well. 
Devin Ryan – Sandler O'Neill: Okay. Great. And then just lastly and since that you brought up a surge in kind of recruiting conversations, just want to get your thoughts on kind of what you guys specifically look for in somebody that's thinking about coming to Greenhill and what the conversation, how the conversation goes relative, Greenhill relative to maybe some of your other independent – near peers?
Scott Bok: I would say, first of all it – and in a very large percentage of cases starts with a with the person calling – us not us calling them, and they identify themselves because almost everybody knows someone who works here, some friends is a partner who they work with elsewhere or they may have known some other ways to work that deals together whatever. So it often starts with that, it's I often use the phrase loyal to a fault in terms of people we're looking for, we rather only see people who spent the last 15 or 20 years at one place one of the big banks and I've now decided, it's time to move on, and in other words that's not the kind of person who's likely to move on much once they get here, but likely to be equally loyal to us. We'd like somebody who's clients think of him as an advisor, that is not the case for probably the majority of people on Wall Street where clients may think of them as a sales person, as a conduit to all kinds of different products within their big banking balance sheet and so on. But if you're an individual who comes along, who's got 15 to 20 years of experience, has focused most of that on a particular niche, could be a particular industry sector or region, have clients who think of you as an advisor and you think you over time could bring those clients here, we are very interested and those are the kind of people we're talking to right now.
Devin Ryan – Sandler O'Neill: Okay. Great. Thanks very much.
Scott Bok: Sure.
Operator: The next question comes from Joel Jeffrey at KBW.
Joel Jeffrey – KBW: In terms of your fund placement revenues, I'm just trying to think about and I appreciate the color in terms of it being more towards the back half of the year. But I mean in terms of the magnitude of your pipeline and what not, should we think about it along the line of what you did last year? Are you seeing a significant pick up there, or any color you could offer would be great.
Scott Bok: Well, I certainly am hopeful that we would do meaningfully better than the last year. I mean if you remember at year end we said that fund placement last year was about 9% of our revenue. We had about 300 million of advisory some of those were 27 million roughly of that kind of revenue but we made the point that it was – it really was extremely quite in the first half of last year. And that's because it's long pipeline kind of business and it would – we're still very much feeling the effects of the financial crisis and even more important of the larger of our two teams that's – it was real estate and only been with us for several months, so it really takes time to build the pipeline. So we would like to think that this year we would hope to get a good full year result not a good six months result, and that as a result we should end up with materially more revenue under that business than we had last year. I don't think we're going to hit what I hope for in that business in a single year, I mean we are really quite optimistic about what that business could grow into and clearly it's going to take a couple of years to develop into that. But I think this year, should be a good solid step forward.
Joel Jeffrey – KBW: Okay. Great. And then in terms of the comp number in the first quarter was there anything along the lines just like payroll taxes or anything that might have inflated it seasonally?
Scott Bok: There was a bit of that, yeah, there was a bit of that and that happens each year in certain jurisdictions with payments of bonuses, so yeah.
Joel Jeffrey – KBW: Okay. And then can you give us the percentage of the comp that was deferred comp?
Scott Bok: You mean amortization of prior year – grants, I'd think if you wouldn't mind just waiting for the 10-Q, I do – we just don't have a number handy in front of us – but it'll certainly be in there.
Joel Jeffrey – KBW: Okay. And then jut lastly the tax rate was a little bit lower than what we were looking forward, that's just due to the sort of geographic regions, that revenues would generate from?
Scott Bok: Yeah, that's always the issue for us as to how it moves around and as you often hear in the news these days that, the good old US of A has the highest corporate tax rate around. So when we earn more money in other jurisdictions around the world it does lead to a lower rate for us.
Joel Jeffrey – KBW: Great. Thanks for taking my questions.
Operator: Next question comes from Howard Chen at Credit Suisse.
Howard Chen – Credit Suisse: Hi, Scott, hi Richard.
Scott Bok: Hey, Howard.
Richard Lieb: Hello.
Howard Chen – Credit Suisse: Good afternoon, thanks for taking the questions. Scott, I was just wanted to clarify the commentary you made about the revenue opportunity being back-end weighted, based on just what you're seeing are you suggesting the current M&A fees are just, should be accrued in the second half, or do you just need to win more mandates to see that pick up in the second half?
Scott Bok: I think all I’m saying with that is then – obviously this industry-wide there were – it was a very low level of announcements and completions in the first quarter and sort of – frankly it's holding true for the first couple of weeks in the second quarter, I do think that will change not only for the whole industry but I think that will change for us. And therefore I think at least based on where – what we see right now, obviously things can change at any point – but what we see right now, I would expect that frankly probably all of our competitions will have more M&A revenue toward the back of the other in the first half and we won't be left out of that. That same thing should be true for us I think. 
Howard Chen – Credit Suisse: I was just curious to get updated thoughts on just strategic acquisitions, I know in the past you've spoken about, in the certain regions that you could do a Caliburn like transaction which has turned out great for you all, I was just hoping to get, latest and greatest thought on that?
Scott Bok: Sure, I think – as I've said many times I wish there were a lot Caliburn sized opportunities because that was a substantial business and a very attractive M&A market of Australia, I don't think there were a lot of those around, I think things we can do to – kind of inorganically if you will, in other parts of the world are important then it will help us build our business. But I don't think they're going to have sort of a dramatic near term impact on revenue. I think right now, the more interesting sort of strategic opportunity for us is that as we did in 2008-2009-2010, we're seeing some really attractive recruiting candidates and if we could find our way over the coming months to bring in a fair number of those and maybe – do go ahead with a small strategic expansion or two in certain jurisdictions around the world, I think that would be a really meaningful expansion of our business, but it won't be the kind of – sort of big accretive in one fell swoop transaction that we had when we acquired Caliburn.
Howard Chen – Credit Suisse: Great. Thanks, Scott. And then final one from me, the dividend remains a really nice capital return vehicle for your shareholders, in the past you've mentioned – your confidence and desire to maintain that and hopefully grow it as market conditions improve. But just given the cash balance decline that we saw during the quarter and some of your expectations for some near term, maybe softness or softer revenue landscape, any changes in your thinking there?
Scott Bok: No. Not at all. I mean, we're -- if anything our confidence in that issue grows as time goes on, and I mean we continue to buy back shares, yeah, our cash balance is a little bit lower now but this seasonally is the always the lowest at this point of the year, we can always – we can not only pay our taxes and things like that but we obviously pay cash bonuses to people, so you expect it to be at the low at this point of the year and generally to be higher other times of the year. So I feel – I mean you can hear from my comments about back half of the year, about pipeline about more retainers than we've seen historically et cetera that certainly I don't think there's any issue around the dividend.
Howard Chen – Credit Suisse: Understood. Great. Thanks a lot, Scott.
Scott Bok: Sure.
Operator: Our next question comes from Douglas Sipkin at Susquehanna.
Douglas Sipkin – Susquehanna: Yeah, hi can you hear me?
Scott Bok: I can hear you fine, and welcome at – from your new location.
Douglas Sipkin – Susquehanna: Thanks, it's been about three weeks, but it's been fun. Hey guys first of which congratulations, secondly just wanted to talk a little bit on some of the numbers, in terms of Caliburn, I know there were some performance awards that – performance hurdles I guess and I'm not quite sure but I believe you guys indicated that it was reasonable that you were going to make those awards. So how if at all would you be recognizing that through the earnings model, whether it be in share count or comp expense, I'm not sure and you could clarify?
Scott Bok: Well, we certainly have amortized all the restricted stock that is still, pending in relation to that, it's being amortized according to its time. But we're still about a year away from the first of the two earn-out dates. But we are – we're certainly still assuming at this point that's much more likely than not to be achieved and so we've taken the step, even as of end of last year to get fully up to date in terms of amortizing those, the restricted stock awards.
Douglas Sipkin – Susquehanna: Okay. So you've already begun to I guess recognize – at least that first portion of the award under the assumption that they're going to meet the revenue hurdle?
Scott Bok: That is true for there are kind of two types of awards we did at the time, for the restricted stock we were doing sort of what the accounts allow you to, which is to as to begin to amortize that as soon as you think it's going to beyond – with the actual shares that went to the owners of that business at the time we did the acquisition. Those shares don't come into the count until they actually do earn them and receive those shares which is been worked – I guess right around exactly a year of life.
Douglas Sipkin – Susquehanna: Okay. So that will probably be like a Q1 2013 event?
Scott Bok: Correct.
Douglas Sipkin – Susquehanna: Okay. Perfect. So also – I get the sense that you guys are thinking about getting more aggressive with hiring I mean I think it's obviously to me of course that there is a plethora of talent out there in the industry, shrinking and it's a challenging marketplace but are you guys more willing to engage and maybe think about this being, like 2007 or 2008 year in terms of hiring. And supposed the last year where you sort of kept it flat, because I can appreciate you're seeing a lot more people but you guys wanted to take the initiative and grow in 2012?
Scott Bok: I would say yeah we are. We had – I was very clear last year beginning of the year that we had had a lot of recruiting, not in 2007 but it's only in the financial crisis of 2008, 2009, 2010 we did and basically put the brakes on that almost completely last year, and frankly – it looks like the market had turned up now, the latter half of the year came, Europe sort of to some degree got back into a real period of uncertainty. And that in turn has flushed what looks like a lot of very attractive talent out of the big banks and so we are right now actively talking to a lot of those people and we do indeed plan to bring a fair number of people in who we think and – in many cases going to really make a significant impact on our business.
Douglas Sipkin – Susquehanna: I mean I know you guys normally don't think about – a specific target number or growth number – but I mean can you maybe put some parameters around it like, if you really – are at the point where you really saw the right people I mean you could be potentially adding a bunch, or you're still going to try to manage it, over the focus on cost in the very near term?
Scott Bok: Well we're always try to walk that fine line to keep them – profit margins in shape but also bring in people, but I mean what we're talking – I mean I think, you never know until you sort of sign each one up, but I would like to think that, we're talking, say more than five senior bankers in the very near term and – then it could be material and more than that – we'll see how it plays out. And a lot of this evolved by the way just over the last several weeks. I mean it's kind of surprising to me and I think frankly it relates to continue being a problems with the big banks and continued regulatory uncertainly and the fact that this is kind of the down cycle and this doesn't seem to want to end. And so I think that has caused a lot of senior bankers at large firms to finally say, what I really would rather be in a place like Greenhill where life maybe isn't quite so complicated. So we've seen really as I said kind of a surge in opportunities literally over the last several weeks.
Douglas Sipkin – Susquehanna: Great. And then just a final question and I guess you guys alluded to some of it, but I mean it just kind of feels like to me the revenues, look pretty strong, and I would imagine better than most had it myself included by decent clip, the fund placement activity was great in the second half of 2011, M&A is kind of just been, decent but never incredible yet, I mean so – what was the big driver this quarter? Was it debt advisory I guess, it sounds like that was probably or debt – financial restricting advisory that was maybe a little bit better than normal this quarter?
Scott Bok: It probably was, I think the fundamental issue and look we're going through a complicated time so I'd certainly realized it's not easy for people to sort of guesstimate where revenues are going to come out but I do think clearly after four quarters, you'd have to say there is a trend toward – and maybe some outsiders certainly analysts I think not really having to come to terms of how broad our business is. And so you look and last year they might have said why you'd – okay, you've sort of exceeded what we expected, you did really well in Australia, you did really well on fund placement, I mean this year I've just told you actually it was pretty modest in funds placement, I told you Australia was weaker than it has been in several quarters. And so you could say well how did you end up with this kind of revenue. The fact is – it's a very broad business, more retainers across all the different activities that we do. Yeah, there was, there was some pick up in that restructuring and certainly is not a blooming business by any stretch because financing markets are frankly wide open and available for those who want to refinance. So it's a lot of little things, I think there's not really one thing I can point to and say while we kind of surprised everybody because we've earned a lot of this or that kind of revenue it really is just a lot of things to add up to, what frankly – is a pretty good, attractive business, even in a tough environment.
Douglas Sipkin – Susquehanna: Great. Thank you for taking all my questions.
Scott Bok: Okay. Thank you.
Douglas Sipkin – Susquehanna: Thank you.
Scott Bok: And I think that's the last of our questions. So thank you to everybody who joined us today.